Alan Jackson: Morning, ladies and gentlemen. Welcome to these most prestigious offices and fantastic view. And those of you who I've said hello to, I'm sure in tomorrow's interims it won't be quite this impressive setting. But very impressive results, as you'll hear today from Playtech. Anyway, welcome to Playtech's interim results for 2015 financial year. We'll proceed in the usual format, a presentation then Q&As. And I know many of you are heading off to another presentation today, so we'll just need to make sure that we finish by 10.30 at the latest. So, I'm delighted to be able to report we've made significant progress against our strategy, all aspects of our strategy, during the first half of the year. Our gaming business continues to go from strength to strength, with our strategy of focusing on regulated markets really driving growth, with significant opportunities across all geographies as customers seek to benefit from our market-leading Omni-channel offering and our best-of-breed products in each and every category. We've also completed a series of strategic acquisitions to create and enhance our new financials division, a high-growth and regulated industry. Indeed, we've got strong financial performance. Playtech once again delivered an outstanding financial performance, with reported revenues up by a third and adjusted EBITDA up 16%. And EPS up 19% against the same period last year. Our financial performance, combined with the strength of our cash flows, have once again allowed us to increase the interim dividend. And given the strength of our financial performance on all key metrics, combined with the strategic progress we've made, I've got great confidence the sustained -- I'll put my teeth back in -- the sustained momentum in the business will result in strong growth for the remainder of 2015 and beyond. I'd now like to introduce -- I would now like to handover to Ron, and I'd like to congratulate Ron on becoming Chief Executive of the financials division, as well as Chief Financial Officer of the Group. So, Ron, over to you.
Ron Hoffman: Thank you, Alan, and good morning, everyone. Playtech again delivered a strong financial performance for the first half of 2015. Total reported revenue were up 33% versus H1 2014, with adjusted EBITDA and adjusted net profit up 16% and 19% respectively. Our results for the period were driven by a variety of factors, including the continued organic growth of the business, with further business wins, acquisitions, which included Aristocrat Lotteries, Euro Live, Cyclone, Yoyo, Markets Limited and further smaller acquisitions, the introduction of the POC tax in the UK, the significant weakening of the euro within the first half, and investment into a white-label arrangement in regulated markets. Looking at the underlying results, excluding acquisitions and after adding back the effect of the UK POC tax, the underlying revenue growth was 29%, adjusted EBITDA increased by 26%, and net profit increased by 40%. These results were negatively impacted by upfront investment into our white-label offering, which will benefit -- the benefit of which should come through in the future when such initiatives achieve the necessary scale. For proper comparison, after stripping out the effect of the white-label arrangements, total revenue increased by 25%, with adjusted EBITDA and adjusted net profit increasing at 32% and 46% respectively. If we further strip out the positive exchange rate impact, revenue, adjusted EBITDA and adjusted net profit increased by 10%, 10% and 9% respectively, presenting a consistent growth across the key metrics. Playtech once again delivered a strong performance across all verticals, with the exception of poker, which was expected and reflects the continued market trends. Casino continued to be the biggest contributor to growth, adding EUR32.7 million of additional revenue in the half, taking revenues in that vertical to EUR148.9 million. Casino growth was 8% at constant currency or 11% when adding back the effect of the UK POC tax. The majority of the growth in casino came from core web casino, being mainly slots and roulette, driven by Ladbrokes, Gala Coral, Sky and continued growth in Asia, with additional contribution from bingo side games and Playtech open platform also seeing good growth. Mobile casino revenues on a constant currency basis have increased by 73% compared to the prior period, with mobile penetration increasing to 14% from 9% last year. Services' revenues increased from EUR61.3 million in H1 2014 to EUR73.9 million in 2015, an increase of 21%, with strong growth from operational services in supporting Playtech's white-label operations. Sports enjoyed strong growth, with revenue increasing 30% to EUR16.1 million, and 29% after adding back the effects of POC tax on a constant currency basis, with the majority of this growth coming from the Mobenga platform provided to top-tier UK licensees. Land-based revenues almost tripled in the first half of the year to EUR15.1 million, with very strong growth from VideoBet and IGS, boosted by the acquisition of Aristocrat Lotteries acquired in September 2014. Excluding this acquisition and on a constant currency basis, the land-based vertical increased by 64% to EUR9.3 million, mainly due to setup charges from IGS, new customers and further distribution of the VideoBet offering, with additional 2,000 machines compared to the previous year. Bingo revenues increased 20% in the half, 13% on an underlying constant currency basis and after adding back the effect of POC, with growth from all major licensees and with a significant increase in the mobile channel accounting for 17% of revenues, up from 14% in H1 2014. The online poker market remains challenging, with revenues down 19% in the half. After the period end, Playtech announced that iPoker, the world's largest poker network, will revert to a stronger single tier to allow licensees and players to benefit from merging the two-tiered liquidity pools. Playtech completed the acquisition of markets limited on May 7, 2015, and, accordingly, has consolidated the financial performance in May and June into Group results. For the full six months, Markets Limited delivered revenues of $48.2 million, an increase of 60% on the same period in 2014. This impressive growth was achieved despite a weak May and June caused by very low volatility within the markets. And we'll look at this in the next slide. Markets Limited's KPIs were strong in the period, with active CFD customers up 34% and first-time depositors up 39%, reflecting key drivers in the growth of the business. As you will all be aware, there is a high correlation between volatility in the markets and the performance of our financial division, with higher volatility driving higher revenues. The chart on the slide shows the volatility index over the past year and clearly illustrates that after high volatility in the first quarter of the year, Q2 saw very low market volatility, which naturally impacted revenues in this period. I am pleased to say that volatility increased significantly after the half-year end, which has had the expected positive impact on recent trading. I will just add that the business is naturally hedged, with a high volume of retail customers on both sides of trades, with Market Limited's sophisticated risk-management systems sitting on top to limit exposure on any one market or instrument. Once we have completed the acquisition of Plus500 and Ava Trade, we will be in a position to further drive the performance of the combined financial Group. And I consider this in more detail shortly. The adjusted EBITDA margin of 39.5% in the half was impacted by lower margin of acquisitions and white-label activity, together with the impact of the UK POC tax. Excluding acquisitions and the impact of the UK POC tax, the underlying adjusted EBITDA margin was 44.6%. When further stripping out the effect of lower-margin white-label business in H1 2015, the adjusted EBITDA margin was 48.1%. And adjusting for constant currency, the H1 2015 margin was 45.4%, in line with the margin in the first half of last year. Adjusted operating expenses increased 48%, from EUR116.8 million to EUR173.1 million in the half, with EUR19.2 million of the increase coming from acquisitions. The underlying operating expenses, excluding acquisitions and the effect of the UK POC tax and on a constant currency basis, increased by 24%. Revenue-driven costs comprise mainly direct marketing costs related both to the gaming services division and the financial division, fees paid to sales agents and license fees paid to third parties, including game developers, IP owners and branded content, which are typically calculated as a share of the licensee revenue generated. Revenue-driven cost as a proportion of total revenue increased from 8% to 10%, mostly as a result of additional costs related to the white-label operations. Employee-related costs as a proportion of adjusted non-revenue-related cost of operations decreased to 59%, even when excluding acquisitions. Capitalization of development costs remained at the same 14% level from total employee-related costs as seen in 2014. Total employee-related costs excluding acquisitions were EUR72.8 million, compared to EUR59.6 million last year, an increase of 22%, mostly the result of additional investment in live, mobile and bingo. Cost of service comprised dedicated development team cost charged back to licensees, hosting software -- hosting and software license costs. The increase is mostly as a result of growth in the dedicated teams headcount and new license technology supporting continued investment into the IMS backend capabilities and the newly launched BIT offering. Playtech continues to be highly cash generative and once again delivered strong operating cash flows of EUR96.4 million, representing 86% of adjusted EBITDA, slightly lower than last year due to timing changes in working capital. In addition to these operating cash inflows, Playtech raised net profits of EUR313 million through an equity placing to fund future acquisitions, including Plus500 and Ava Trade, as well as arranging EUR240 million of new debt facilities. Net cash outflows from investing activities totaled EUR301 million in the first half. EUR176.7 million of this related to acquisitions made in the period, including Markets Limited and Yoyo Game. EUR15.6 million related to investment in structured agreements and other equity-accounted associates. And EUR83.6 million related to investment in shares of Ladbrokes and Plus500. The strong operating cash flows in the period support the 19% increase in total dividend payout, which is in line with growth in adjusted net profit. The dividend per share increased by 8%, reflecting the increasing number of shares following the equity placing. Playtech has either spent or committed to over EUR1 billion on strategic M&A in the first half of the year, with total assets more than doubling to stand at circa EUR2 billion at the period end. Following the acquisitions of -- or the acquisition of Markets Limited, which has a maximum earn-out of EUR250 million, the total all earn-outs is -- for all earn-outs is now a maximum of EUR260 million. As just discussed, the period also saw Playtech arrange EUR240 million of new facilities and received net profits of EUR313 million from an equity placing. Putting all this together, even after all the acquisitions have completed, Playtech has remained -- has retained its financial flexibility, with gross cash expected at year end and with a potential for further debt funding as required. At the year end, we would expect to have a few hundred million euros of gross cash on the balance sheet, with the main inflows being the cash generated and drawing down of the EUR240 million facilities, with the main outflows being H1 dividend and acquisition of Plus500 and Ava Trade. It is worth bearing in mind that we already spent circa EUR60 million on Plus500 shares, which will reduce the amount left to spend. Taking into account the EUR200 million facilities, we would expect our net debt EBITDA to be around neutral at the yearend or around one time once including the earn-outs. Turning now to the creation of the new financial division, and with my financial division CEO hat on, I thought it would make sense to spend some time focusing on why we entered the space, as well as looking at what the business will look like on the assumption that the acquisition of Plus500 and Ava Trade complete, which we expect them to do next month. The global financial trading space is highly attractive. Recent years have seen increased acceptance of CFDs as an asset class, with a significant portion of UK equity trading activity now executed through CFDs. The increasing global online penetration and increasing investment appetite by retail customers globally, in addition to the advantages of simple, intuitive and accessible margin trading which caters for profits to be generated in both falling and rising markets, combined with transparency, flexibility and tax structure benefits, have resulted in CFD trading becoming one of the fastest-growing products available to private investors. Against this backdrop, Playtech entered the financial trading space as it is a highly attractive growth industry which is regulated. It has similar financial characteristics and is driven by the same core key competencies in the areas that Playtech excels today, satisfying all of our strategic criteria. In entering the space, Playtech can leverage its existing infrastructure technological superiority in marketing and CRM expertise and, through this, become a natural aggregator in the space, where it can benefit from scale advantages in becoming one of the larges B2C providers. Finally, as with any acquisition that Playtech makes, the acquisition in the financial trading space is highly accretive, with substantial cash flow conversion. Following the acquisition of Markets Limited, once the transactions of Plus500 and Ava Trade completes the financial division will become a significant business segment within the Group. Looking at the combined numbers from Markets Limited, Plus500 and Ava Trade for 2014 shows the business with approximately $375 million of revenues and $198 million of EBITDA, with 170,000 customers, 110,000 first-time depositors and significant geographic and product diversity, holding seven different regulatory licenses in key markets. Taking all of this together, the financial division represents a healthy and diversified business, with significant potential for future growth in a rapidly growing market. We thought it would make sense to give you some insight on how the financial business will look and touch on some of our operational plans. Although we will run and report the financial division in a single business segment, we will operate a multi-brand strategy, with different brands having different strengths in different territories. We see significant value and growth potential in combining the best of the technologies and offering, and specifically we plan to integrate our best-of-breed CRM and backend system, together with the Plus500 media buying technology and offering. We believe this will cater for a significantly better customer trading experience and can deliver substantial growth across the business. The combination of technologies provides us with a competitive edge in the market through which we will deliver the platform of choice to retail customers in the space. The combined division will also benefit from centralized back-office infrastructure, supporting the wider activity across the business, and a combined marketing strategy, which will create efficiencies and optimization in the way that we attract customers. Once all three businesses are under the Playtech umbrella, we intend to report financial performance and KPIs for the division as a whole. We intend to disclose revenues and EBITDA for the financial division, as well as including the geographic breakdown as part of Playtech's Group disclosure. In terms of other KPIs, we also intend to report a number of active customers, first-time depositors and other key metrics, once again, all for the combined financial trading business. Finally for me, this slide illustrates how our entry into the financial space has significantly diversified Playtech's business, which, on a pro-forma basis, represents almost EUR800 million of revenues, 60% of which being regulated, a material increase. As the charts show, the combined Group will also be diversified by customer, with no customer being above a single digit as a percentage of revenue. The enlarged Group will also be diversified by product and offering and will also -- and also well balanced geographically, with the UK, mainland Europe, Asia and the rest of the world each accounting for approximately a quarter of revenues. I'll now hand over to Mor for his operational and strategic review.
Mor Weizer: Thank you, Ron, and good morning, everyone. Before I start, we have lots of achievements to talk about, but I was told by Andy Smith, whom you know by now, he told me that I have to mention that one of the most important achievements in this half is that hopefully my presentation will be shorter. So I'll try to divert from my traditionally long presentations and do it quicker. Speak faster, in other words. Okay. So the first half of 2015 has been extremely busy and highly successful for Playtech, as we have delivered on our strategy of driving growth in our gaming division, while augmenting this growth with strategic M&A, transforming Playtech into one of the world's largest and leading online software and services providers. Given the three acquisitions that we have committed to in the first half of the year to create a financials division, it will be easy to forget that Playtech's gaming division remains the largest part of the Group and our core business, and, as Ron has discussed, continues to perform very strong. It therefore seems appropriate to spend the next 15 minutes or so looking at the drivers of performance in the first half, as well as looking at the strength of the gaming division, including recent innovations to further extend our market leadership. The first half of the year has seen strong growth across regions and product verticals, with good growth coming from both new licenses, such as LeoVegas, and existing licenses, such as a 20-year online contract extension with RAY, Finland's own Slot Machine Association, our customers in the UK that invested into the business ahead of the introduction of POC and the introduction of slots in Spain earlier this year. This balanced growth illustrates Playtech's ability to improve the business performance of its existing licenses, as well as bringing new licenses into the Playtech fold. Playtech continues to focus on regulated and soon-to-be regulated markets, which have achieved 80% of incremental H1 gaming growth coming, accounting for 40% of overall H1 2015 gaming revenues, up from 35% in the first half of last year and 38% in the second half of 2014. This growth in regulated markets is a combination of organic growth from existing licenses that are already established in different regulated markets, and marketing investments diverted to regulated markets by various operators that traditionally operated in unregulated markets and are still in the transition process, a trend we expect to see continue in the coming quarters. It has been a busy half operationally, and these efforts continue into the second half as we prepare ourselves for certain opportunities that we believe will come to fruition in the coming quarters. We have made further process with our pioneering ONE technology, which allows players a seamless, anywhere-anytime gaming experience across any product channel and device, all using a single account and a single wallet. Sports betting has seen the largest investment as part of the Playtech ONE strategic roadmap and it's Playtech's fastest-growing product vertical. After the half-year end, Playtech announced the launch of its first omni-channel HTML5 front-end solution with Ladbrokes, enabling a seamless, fully responsive and fully adaptive desktop and mobile user experience and a host of unique new sportsbook features. In a market first, Ladbrokes new platform, Sports HTML solution, that significantly boosted Ladbroke's sportsbook performance and optimized -- and optimization capabilities ahead of the English Premier League season. We also made significant -- sorry. We also made significant progress with our structured agreements' partners, with Caliente already exceeding our expectation. It further cements our business model, which becomes increasingly attractive in various new and soon-to-be regulated markets. Given the regulatory backdrop, combined with Playtech's unique offering, we see strong positive momentum across Europe, Latin America and elsewhere. Finally, we have been delighted to be able to support both Ladbrokes and Gala Coral, two of our key licensees, in their proposed merger. To assist in providing the flexibility for the combined entity to achieve integration and realized synergies, Playtech has agreed, conditional upon completion of the merger, to accelerate the determination of amounts due to it under its marketing services agreement with Ladbrokes. The sum agreed was GBP75 million, of which GBP40 million will be satisfied by way of the issue of shares in the combined entity on completion, with a further guaranteed GBP35 million in cash paid upon delivery by Playtech of key operational milestones, but in any event, within 42 months following completion. In addition, demonstrating its support for the proposed merger, Playtech acted as a cornerstone investor, taking 22.9% of the circa 9.99% equity placing announced by Ladbrokes at the time of the announcement of the merger. Subsequent to this, Playtech purchased further shares in Ladbrokes, to take its total holding to 9.7% in Ladbrokes PLC, further evidencing our strategic alignment with Ladbrokes. Our strategy in the gaming division remains the same, with the same unrelenting focus on growing the business, combined with a specific focus on regulated markets. We made very good progress during the period in each and every element of our strategy. First and foremost, Playtech aims to support the organic growth of its licensees. And I'll speak shortly about some of the ways in which we do this. We also aim to extend the existing relationships we have by cross selling new products, new services and new territories. In addition, we look to sign new licensees, either through conventional licensing agreements or through structured agreements such as joint ventures. Finally, to augment this growth, we look to spend our high levels of cash generated on value-enhancing M&A. It's fair to say that Playtech's technology and experience remains unrivalled in the market. Our IMS driven omni-channel offering is a key differentiator and unique proposition, and this lead will only be extended through unmatchable resource and investment dedicated to R&D. We have the largest content portfolio in the industry, as well as data stretching back many years from over 120 licensees across multiple demographies and geographies, which can provide benchmarks and intelligence across the industry. Not only do Playtech's licensees operate best-of-breed technology and products, they also enjoy the added value of industry intelligence, the economics of our scale. Finally, we maintain the largest independent liquidity pools in both bingo and poker. However, there is no room for complacency and we continuously strive to extend our lead, being at the forefront of industry thinking and evolution. Whilst mobile remains a crucial channel and a key part of our strategy, it is yesterday's story. The industry needs to align itself with the information age and in embracing data, getting more from the same, harvesting the information that they already have to drive future growth. Omni-channel has become a buzz word in our industry, but it's more than just integrating products. It's a holistic approach to the way operators service their customers. A customer-centric approach is very much in the "doing", not just in the "talking". In simple words, develop simple products using the most advanced and sophisticated technologies that offer a seamless journey, irrespective of channel, catering to specific taste of each and every individual player that is determined automatically based on a combination of more than 20 data elements. In November last year we had an Investor Day, during which we presented our BIT Business Intelligence Tools framework. BIT is all about information and the intelligence driven from it, but it does not stop there as all the tools are integrated into the IMS, including the marketing and CRM systems. And all information and operational flows are fully automated. It does not only alert our customer representatives, but takes automatic actions to improve performance and results. On the left-hand side of the slide you will see a list of some of the BIT tools which Playtech offers to enhance its licensees' operation. I'll go through a few of these in detail shortly. The tools are designed to increase customer lifetime value, lower churn rates and improve the customer journey. They are based on advanced algorithms and benchmarks against big data from 120 customers with similar profiles, data which no other company has access to. I want to come back to some of those and share with you the results so far, as we have seen strong results from licensees who have launched some of these tools so far. I will just add that while some of our largest customers already started deploying, they represent only a handful of the full licensee base. Looking first at game advisor, it has been designed to improve the customer journey and ensure that the player is being advised of the games that best fit him or her, using a fully personalized approach. This is based on a player's characteristics, thus increasing lifetime value of customers to reduce churn rates. The results obtained so far are from over 10,000 unique underlying customers and show a clear uplift in performance, including a 15% to 31% increase in average income per customer. Churn detection, as the name would suggest, aims to reduce the churn rates and increase lifetime value by analyzing the probability of customer churn and taking the necessary actions to retain the player. The churn detection tool is integrated into our IMS, and, above a certain threshold, it automatically takes actions to ensure the player is retained a loyal customer. In testing the accuracy of our analysis, we measure the accuracy of predicting two events, which players will churn and which players will not churn. The accuracy is the percentage of players predicted to leave, or did leave, plus the players predicted to continue playing. The results to date, across 50 licensees, show a 70% to 80% accuracy rate, which is exceptional. For those of you who may be a little skeptical about how this number is, it is higher than the accuracy achieved in other industries, such as telecoms. Our optimizer tool provides licensees with a tool to run real-time web personalization and optimization. With a short and easy integration, licensees can run optimization campaigns within minutes without the need for developers or IT. It goes beyond banners and allows customers to change almost every element on their apps and web. The system then automatically shows different proposed designs, tracks the activity and automatically decides the best designs or campaigns to be shown without any manual intervention, increasing ROI on invested marketing in the case of campaigns or improving conversion rates of players. The illustration on the bottom is a screenshot of a test run by a tier-one licensee who was looking to determine the optimal layout of three different menus on the mobile screen. The BI reporting and benchmarking tool provides users with the ability to slice and dice data from various products. The tool collects player data, analyzes and aggregates it and provides a reporting interface to users. The data can then be benchmarked against other operators, on an anonymous basis, obviously, to show how they are performing with a particular game or product. This is just one example of how Playtech's big data offering cannot be replicated. It allows operators to identify inefficiencies in certain areas of their business and act on them immediately. Finally, smart installer, which has been historically developed together with cross rider, provides licensees with a tool that can increase conversion and prevention, with each smart installer customized specifically to the requirements of each licensee and their brand. The installer has the capability to run marketing campaigns, survey players, run optimization tests, and is designed to track each and every step of the player to ensure they complete the download process. It improves conversion rates, from download to registration, to conversion and deposits, as it offers the players certain campaigns. The results from one early adopter showed a 69% increase in signups, together with a 16% increase in FTDs as a result of using this tool. Looking now at our new business pipeline, we see significant opportunities across Central and Eastern Europe, Latin America and Africa, with Playtech the natural choice for many licensees, particularly in regulated and soon-to-be regulated markets. Sport remains an untapped market, with significant potential as the gateway to other products. With the deployment of omni-channel, we see very significant opportunities, working closely with our existing licensees in the UK and elsewhere, as well as new prospective licensees in regulated and soon-to-be regulated markets. Our ability to offer a full product suite, including sports, together with a full turnkey solution, are key differentiators. M&A remains a key part of our strategy and we have retained the financial flexibility and firepower to move opportunistically and decisively, despite having committed over EUR1 billion on acquisitions in the first half of the year. We will continue to explore M&A to augment organic growth, either to strengthen existing positions in key areas, such as sports, mobile or content, to extend new product areas, such as advanced marketing technology and capabilities, or to extend our geographical reach. Opportunities could be either larger strategic deals or bolt-on acquisitions. And we have a good M&A pipeline in both the gaming and financials division. That said, as always, we will be mindful to evaluate any opportunity, with strict financial and strategic criteria and not lose sight of the integration that follows such acquisitions. To summarize, the business is in a strong position as I have ever known it in my time at Playtech. We have a strong pipeline in our gaming division and clear plans for our financial divisions, which we will be putting in play throughout the rest of the year. We have retained the flexibility for further M&A to augment what we expect to be strong organic growth. The performance we have delivered, together with the momentum in the business, provides me with great confidence in strong growth in 2015 and beyond. So that ends our formal presentation for the morning, and we would now be pleased to take your questions. As we are being broadcast this morning, could I please ask that you wait for one of the microphones that we have here? Thank you very much.
Q - Vaughan Lewis: HI. Vaughan Lewis from Morgan Stanley. First one, on the white-label business. Can you just explain how the revenues and the cost model work for that? And is it loss making at the moment? And what sort of medium-term margin should we expect for that? Secondly, on the Markets business, can you just explain how the hedging actually works there, where the customers aren't matched off against each other, how you enter into hedging agreements? And then thirdly, related to that, with them all being amalgamated now as one, how will the earn-out for TradeFX work? Presumably that's all being run as one so it won't have its own P&L, and likewise with the semi earn-out, the purchase of the -- the option to purchase the remaining shares. Thanks.
Mor Weizer: Okay. So I'll start with the white-label question, obviously. The way that it works is basically that we record it on the back of the fact that it's under our license. We are effectively the operator, and therefore we record the full, I would say, net gaming revenue as an operator. So we basically take the full top line. Obviously, due to the fact that we've invested heavily, specifically in the second quarter of this year we invested heavily into marketing initiatives for some of these initiatives, some of these [grants], we -- this has had an impact on the margin, this has an impact on the profitability for the first half. Basically, we record pretty much the topline of the operator, we record the full cost of the operator in the marketing and our direct costs related to that, and we record as costs the relevant proportion of the revenues which is attributed to the brand owner, so the customer, basically, to what we define as the white-label customer. On a net effect, right now we're talking about a loss position for the first half, but this is an interim situation. We see that as an initiative that we see -- that we believe will obviously become profitable, otherwise we wouldn't have entered into that space. We think it will become profitable within a reasonable period of 12 to 18 months. I think that's very legitimate when it comes to new initiatives in regulated markets, but we obviously see that as a very relevant initiative for us to grow further. There are further B2 billion or customers on the white-label arrangement that we are discussing right now that will augment this part of the business going forward, if those will come through. And we see that as a very relevant part of our business. Not all of them are newly established brands. Some of them are actually existing brands, which have already some power to the brand already. The [Daily Mirror], by the way, is a great example of that, but it's still at an investment stage at this point. With respect to the Markets' hedging, the way that the book is run, I would say that 99% of the cases and most of the instruments, you will see the natural hedging position, meaning due to the fact that our customers are not institutional customers, they're retail customers -- an average lifetime customer, we're not talking about millions, we're talking about an average deposit will be a few hundreds or thousands, not something too dramatic -- the exposure to customers is not big, by definition. And due to the fact that we enjoy big volumes and a lot of customers, our -- we enjoy the fact that we have significant trades on both sides of the book, I would say. There are very specific areas that we monitor and cases which we monitor, obviously, in a real-time basis, where we see certain instruments with certain risk profile of customers that we don't have, that we see that as a riskier position. Not in all cases, but in some cases. And therefore in these cases we may look to hedge. We did that in the past. It never arrived to any significant level historically, given that fact that it's, most of the time, naturally hedged. And with respect to the earn-outs given basically the full -- the completion of all the three transactions, the way that we account for that is there is, I would say, a hit on the cost of the acquisitions to the measurement of the EBITDA of the business, meaning we take the full EBITDA measurement of the combined business and we attribute to that the relevant proportion of the cost -- of the consideration that we paid for these businesses. So obviously once they manage to grow that business, they enjoy the synergies of the combination of them.
Richard Carter: Good morning. Richard Carter from Deutsche Bank. A couple from me. Can you just confirm that the 40% payout ratio is a medium-term target and not just for this year? And secondly, on the constant currency numbers, could you just talk a little bit about -- it feels like you've lost a bit of operational gearing in the business. And so could you just talk a little bit about that versus the revenue growth down to EBITDA? And is that just that you're investing in all these things you've been showing us? So will that start to reverse going forward, like it has historically? And then also, on FX, could you also talk a little bit about the FX impact and talk a little bit about cost and how we should think about the costs being impacted by FX going forward? And then just finally, you've -- and you've talked about having a 10% stake in Ladbrokes this morning in the statement and obviously you paid a materially higher price. Can you say if you would look to increase the stake?
Mor Weizer: Okay. So the 40% payout is what -- is our policy, so it's not just confirmation for this year. This is the sustainable policy that we believe will continue going forward. Basically, on -- I would say on the question on the margin, there are a few areas in the business that we see that as an investment stage. The white-label arrangement is just one of those. Once we extract the external influences, including the POC tax, obviously which is from a growth perspective, it's influencing only this year and not next year because it will be on the same basis next year. But from a marketing perspective, obviously it has an impact because most of it is simply [flowed] to the --
Richard Carter: [indiscernible] constant currency stripped out [indiscernible]. It's just, historically, you've tended to get leverage from growth to the bottom line. And obviously there's no underlying leverage, so I'm just wondering, excluding those things you've already laid out, is there anything additional -- cost that you put into the business in the first half where that will start to -- the run rate on those costs will start to reduce?
Ron Hoffman: The most significantly part where we have the bigger investment is with respect to the white-label arrangement. Other than that, we believe that the margin -- even with that, we believe the margin is -- will enjoy growth as the growth of the white-label arrangements will become more profitable. Obviously this has a negative impact on that. We believe it will be higher than the 40% margin that you see right now, but it's definitely a sufficient margin level that we may well have to continue to gear up and invest more into our products and offering. We're not talking about a dramatic drop in our margin altogether.
Richard Carter: But what -- you've obviously invested -- you haven't told us, but you've invested, I assume, quite a bit into the business intelligence over the last 6 to 12 months. And you've not really talked about the revenue model that is there and how many customers have taken that product. So is there an element of upfront investment in that side of the business and, going forward, we're going to actually see a bit of catchup in terms of the revenue from that investment?
Mor Weizer: I will say that we all -- obviously always have certain initiatives internally. In the past, we had the focus on the IMS. Then we turned it into the Playtech ONE initiative, the omni-channel initiatives. Now we put a lot of efforts around data and information. These investments were already made. It's now just deploying more of those tools that I presented earlier this morning to our customers. As I indicated, only 15 of the largest customers deployed, and not all of them deployed everything. So we see a very, very significant uplift expected from the deployment of these tools. The investment made -- when taking the grand scheme of things, the investment made into this is an ongoing investment and it's very limited. I will say that the impact that you saw in the first half was mainly due to the white-label arrangements, given the early stage and given the introduction of the point-of-consumption tax in the UK. It's very much focused on the UK. We have certain initiatives with certain customers. Trinity Mirror is another good example. I will say, however, just to bring it into context and to give you some perspectives, if you look at our peer group, and not just our peer group, if you look at our customers, when they report the numbers -- a lot of them are obviously public companies -- they talk about declines in revenues, they talk about declines in profitability in the shorter term, hoping that it -- they will be able to further grow it. And some even consider merging in order to create a combined group that can grow going forward. This is done on the back of the structural change that we talked about. We always said -- privately and publically, we said to many of you and others that we do believe that in the second half of this year -- it's not the first half because people enjoyed the benefits of increased marketing last year. Those will come to fruition -- are coming to fruition now, will finish sometime later this year. And then people need to reinvent themselves. And, therefore, people think -- try -- and try and be innovative in order to create scale and position in the market. But still, they will show declines in profitability and revenues. We believe that we were fortunate. We have the margins, the resources, the technologies and capabilities in order to establish ourselves under the white-label arrangement, that we believe, in the medium/long term, will be very beneficial and profitable for us. And, therefore, we decided to invest into that in the first half. It's not about the ongoing investments into BIT or other parts of the business. Its marginal compared to those. And we definitely -- given our experience, any such investment into our business, developing new initiatives such as the white label, will have big returns for Playtech and our shareholders. So I would say it's mostly around white labels and similar investments, new verticals. And we believe that, over time -- we use, obviously, the high margin. And as Ron mentioned earlier, it was run, when you strip that out, on a 45% plus, which is very -- which is in line with last year. And over time, we definitely expect the margins to continue or to grow and increase in the coming quarters.
Ron Hoffman: Yes. On the question on the impact of the FX on the -- on our cost basis, when we look at the operating cost itself -- I would exclude the PLC just to give it on a like-for-like basis -- without the -- with the currency effect implemented into that, we were talking about a growth of 32%. Excluding the constant currency, on a constant currency basis, we're talking about 24%. So the effect would be the 8% growth in expenses on the back of the exchange rates. But obviously this is netted -- this is -- we have the reverse effect of the fact that we enjoy the finance income from the FX gains which is impacting a growth in our net profit which grew around 40% if you exclude the acquisitions and the POC tax. So it has -- its one against the other. But from an operational perspective we are talking about an 8% impact all together.
Mor Weizer: And on Ladbrokes this is not a pure investment for the sake of investment. We are not an investment company. I will say that we took the opportunity to partake in the placing in order to demonstrate our support to two of our largest licensees. I will remind you that they amongst all of our licensee portfolio have the most comprehensive contract in terms of number of products including actually everything including [little] omni-channel, casino, poker, bingo, mobile sports. Or in other words everything outside the core sports system. It was to demonstrate our support to the company and align our interest given the fact that these are two of the most -- two very, very important accounts for Playtech. We also see value in Ladbrokes. And we would expect to help them to accelerate their growth, even before the merger and definitely soon after to allow them to realize the synergies between the two companies. By the way this is with regards to Ladbrokes it is the same with Paddy Power and Betfair. In their case obviously we see a lot of opportunities for both groups. We see two complimenting businesses coming together and we expect to remain to be -- remain and strengthen our relationship with both groups, finding more ways to accelerate the growth of the combined -- then the combined group of Betfair and Paddy Power.
Richard Stuber: Hi. Richard Stuber from Nomura. Just a few questions, first of all going back to the BIT thing, in terms of monetizing the investment is there any sort of change in the rev share or do you basically expect to have higher absolute revenue share because of benefiting from your licensees. The second question is onto the Plus500 completion. I note that the Plus500 share price is slightly lower that the GBP4 you've offered. In terms of the actual completion steps from now till -- from now on [exactly] what other hurdles are required and how confident are you then it all should go through smoothly. And also on the financials side it's obviously a couple of months since you announced the acquisition, could you give any more guidance in terms of potential synergies from putting the three businesses together. Thank you.
Mor Weizer: Yes I will start I will answer the first question about the BIT, the BIT model. Obviously it's in our best interest and there is a long internal debate within Playtech how much we charge. Obviously we invested heavily into that, we introduced that and we integrated certain third party systems in order to further accelerate. There are certain other companies that specialize in data analysis and those were integrated. So there was a direct cost associated with that. But as I said it was very marginal. However, I will say there is a long debate internally how we charge it. Some say simply give it to licensees, it will grow the revenues, you will enjoy it from that. But our licensees do acknowledge the fact that there was a big investment into that. We told them try that. See the numbers growing. And we will have the conversation. The business model we will -- I don't think that you will see a significant increase in our revenues from charging directly for BIT. Although we intend to charge it will be minimal compared to the overall opportunity of growing the revenues. Our role is to basically ensure that we have -- and I would say return on invested resources as we call it internally, a decent one. But the main goal is for our customers to adopt it as quickly as possible, enjoy the growth understand that they need to align themselves with the information age. The results, as it was very evident from the Coral numbers speak for themselves. So it's a true reflection of the omni-channel and information capabilities of Playtech, and we expect to do that across the board with other licensees.
Ron Hoffman: With respect to the question on the synergies between the three acquisitions I would say we believe there are significant -- more towards the revenue synergies rather than cost synergies. There are some cost synergies as well on the back of the infrastructure and sharing the infrastructure, the back office infrastructure between these businesses. So we will have one team that will handle all KYC and AML basically procedures, to pretty much servicing the three brands across the various licenses that they hold. Although they may need to adjust themselves in order to accommodate different requirements from different regulators, so that may have a certain impact on that level -- on the level of synergies that we can enjoy from that. But I would say it's more towards efficiencies in revenue by way of introducing our CRM and backend capabilities together with the offering that we have today from Plus and [other end] markets today as well. That we believe will simply improve the customer experience altogether. We will basically integrate those systems. We will test that. We will see how the customers react to that. We will see whether this can drive life and value to exceed where it is, the level that it has today. And on top of that we will enjoy the fact that we can deliver more efficient marketing strategies. So when we look at certain markets that we have some overlap we won't bid for the same being first on Google for all three brands and therefore bid against ourselves. We will do that in an efficient way that will enable us to enjoy the fact that we have all these three brands. And we will strengthen, use the strength of the brands in the markets that they are stronger in that will enable us to have more fire power and invest more into marketing altogether and have better marketing efficiency across the brands.
Mor Weizer: It's a very diversified business in terms of product instruments and geographies, so the ability to basically pick and choose where we would like to spend and which brand is stronger in certain jurisdictions is a very, very efficient way of operating a multi-brand operation.
Ron Hoffman: And on the completion of Plus just for me to give clarification you were asking about the completion process with the FCA and the regulators. Currently it's under process. We've provided all the relevant information. And we are at the end of the day just waiting to get the approval. We don't believe there are any hurdles right now. We've got indications that there are no outstanding questions for us altogether. We went through a very thorough process with them. They've -- we had some -- a lot of back and forth with questions and requirements. We believe that we are in a good position. And we are waiting to hear the answer.
Simon Davies: Simon Davies from Cannacord. Three from me please. Firstly you've given pro forma figures for the three combined financial trading businesses which did an EBITDA margin last year of 53%. Obviously Plus500 is going to have to invest quite heavily in regulatory infrastructure, but you also talked about synergy benefits. Where do you think the margin for those combined businesses should settle on a three to five year view? Secondly, on [TFX] revenue is down by 5% in May and June but that was in US dollars. Can you give us a constant currency figure? And finally there seems to be some delay in terms of Plus500 being able to on-board new customers. Are you still confident that they will be in a position to do that by the time you complete the deal at the end of September?
Ron Hoffman: Sure, I'll start with the margin. We believe that the healthy margin for the combined business altogether given the, I would say both taking into account the marketing initiatives. But also us driving the business forward and growing the marketing budget going forward given the scale of the business and the infrastructure in order to basically operate a back office offering for seven different licenses across the world across different markets. We believe that the healthy margin is at a level of anywhere between 45%, at the area of 45% give or take. It can be -- obviously it is volatile and depending on the volatility in the market, so there is certain periods that it can be lower or higher. We believe this is the healthy margin, long-term margin of such a business going forward. On current trading, on constant currency on current trading I would say we are talking about approximately a level of 7%, 8% growth on a constant currency basis for the current trading. Sorry this is for the gaming division. For TradeFx given their -- and when we look at current trading I think we basically look at the performance. And obviously there is a lot of volatility in July and August this year given the markets have changed dramatically in both Dow Jones and then China and a lot of different factors affecting the markets. And it's very hard to compare that, compare short periods to comparable years previously where these events have -- or just basically -- there is no logic whether that event happens in July or August or September. So it's very hard to compare that on a like for like basis. Obviously July and August this year are very, very strong. But we believe that the right way to measure that is based on the KPIs, based on the growth of the active customers, based on the growth of the number of customers that we drive towards the business. These are the real drivers of business. And for the long-term perspective, yes, there will be periods of more volatility and less volatility, but this is the real -- these are the real drivers that will -- that give more insight on the growth of the business going forward. And I think we've indicated some very strong current trading results for the first [65] days of Q3. And on the on-boarding process of Plus500 this is currently -- basically they've completed the processes with the first skilled person and second skilled person. They are now doing their own voluntary process with the second skilled person who is a consultant basically to go through a full review of the on-boarding processes in the UK from scratch, an A to Z review of the business on all of its aspects. This is currently underway. And they've indicated that that would -- that process should end by the end of the quarter. And they believe they will start on-boarding new customers onto their UK license following the completion of that process.
Ed Birkin: Morning. It's Ed Birkin from Credit Suisse. Just in terms about gaming constant currency growth for the white label effect [receiving] it's about 4% of that, similar to H1. Secondly can you talk about potential sports headwinds next year with a couple of your licensees announcing recently they are moving to proprietary mobile [front-end]? And then finally I still don't really understand the rationale for the 10% stake in Ladbrokes. As far as I assume you've got strategic alignment with all your licensees through the fact you have revenue share. And if it's in terms of getting some synergies surely a safer way would be structuring something similar to the GBP75 million payout you have where you get some savings there, because if you're investors wanted to invest in a public company they could do it themselves. Thank you.
Ron Hoffman: Sorry, just need -- you repeat the first question on the constant currency growth again, apologies.
Ed Birkin: So the 7% to 8% constant currency is about half of that the white label impact we saw in H1. There was about 4% growth from white label so if you stripped out white labels is that getting to about 4% mark?
Ron Hoffman: The white label was actually started in Q3 last year, so it's on the same basis. There is no impact of no white label activity in the comparable period.
Ed Birkin: Okay, thank you.
Mor Weizer: On the sports we referred to the headwinds in the market as indicated by the sports betting operators. Yes, basically what we see is that we still see a very strong and significant growth in terms of number of accounts which represent in -- given the fact that most of our activities -- this is very UK specific and I will say that we definitely see them growing the number of accounts, the number of players that they manage to attract regardless of the results. Even if there are headwinds in terms of --. Ah sorry my apologies. I thought that you referred to something else. We basically, as we indicated in the past we see ourselves as a strategic partner to these businesses. We have capabilities that are unique to Playtech not least the omni-channel strategy which is a very important and critical element of our strategy going forward. Bringing together retail, online web and online mobile, improving the customer journey. Most people will tell you we are a customer-centric organization but they don't really do that. So it's as I indicated in my presentation it's about the doing rather than the talking. And we put a lot of efforts into that, which puts us in a very unique position. And I don't think that other companies can do that, given the fact that their infrastructure is outsourced. And I think that replacing their current infrastructure their own wallets and integrating those to retail would be almost mission impossible for them and would take years for them to realize that and do that. On the other hand we are have the information part which I talked about, the BIT tools. A fully personalized front-end solution that embeds within that a lot of intelligence tools that analyze, aggregates the information analyze it and then automatically suggest certain steps in order to increase lifetime values and lower churn rates. And so that is a way of benchmarking between an operator and similar operators operating in the same market with the same characteristics, which is again unique. No other company has access to so much data across different product verticals, across different operators in a market. I will say however and we welcome that, that people given the increasing competitive landscape again specifically in the UK, people are looking for ways to differentiate. It's becoming harder and harder for them. And partly this is why there were two very big consolidation events or proposed mergers earlier, one yesterday and one a few weeks ago, in order to create more scale and position. They need to differentiate themselves. They need to create a scale in order to reposition themselves in the UK market. It's not a surprise or a coincidence that those are very, very UK-centric customers. These are not very diversified businesses across many jurisdictions. And with the increase competition people would like to differentiate themselves. And our role is to basically build the infrastructure omni-channel front and intelligence, providing them access to the best and largest liquidity pools in poker and bingo, providing them will access to the largest portfolio of content with progressive's that are shared across 120 customers world-wide. And at the same time provide them also with flexibility to differentiate themselves. What people refer mainly to and talking about is ways to differentiate. And we welcome that. And we have certain initiatives in place to ensure that what they develop internally whether it is games or certain niche products will be integrated on top of our platform, making our platform an open platform. So they will not only enjoy from these key differentiators that will allow them to go and market - do marketing and attract more players but also gain the benefits of our work doing intelligence around those games and around those new products that they launched.
Ed Birkin: Sorry. Maybe I'm missing something, but I thought on the William Hill statement, for instance, they said they were moving off Mobenga, so I just wanted to know what that headwind would be to your sports. Is that not the case?
Mor Weizer: Yes Mobango is a very, very small element of sports it's the front-end element. It's something that we believe today we do best as it is evident by the numbers of the customers of Playtech operating it. We embedded certain tools. We did it in a way that is fully responsive, fully adaptive across web and mobile. We can do the same by the way in the shop so people can have tablets in the shops or even self-service betting terminals. We'll look the same and we'll feel the same and it will be seamless between retail and online and web. So we definitely believe that there are certain advantages. Obviously for William Hill thinks that if they take over the front-end, and again which is a very small piece of the pie in terms of the sports book, they will be able to introduce certain things that are unique and that will allow them to differentiate. We secured, we believe that we secured our position with some other very large accounts going forward. And we definitely see mobile sports, yes, William Hill decided to do that internally. Others indicated to us that they actually want to strengthen their relationship with Playtech working together on the front-end to ensure that it's fully integrated into the IMS and our platform. And I referred to that earlier we launched the industry first fully responsive, fully adaptive HTML5 solution for Ladbrokes earlier this year. And after the end of the first half, and we definitely think that it will be very evident going forward that this will have a very clear and significant impact on the capability to do a lot of things themselves, differentiate. And which will allow us to continue and ensure that mobile sports betting is sustainable. And most companies will remain with us and we will attract new customers. On the Ladbrokes, as I indicated I think that Ladbrokes was a very -- given our relationship with Ladbrokes even the services agreement, given what we experienced, we believe that Ladbrokes, as I said, there was an opportunity for us to align the interests. It's a very -- it's different, a different stage of development when compared to other companies. It secures our position. It aligns the interest in terms of what should be done. Remember that in terms of development there are certain very important and big initiatives, significant initiatives for them going forward whether it is multi-channel platform, mobile and maybe even other areas of the business that we are interested in. And definitely -- and we believe that our stake will position us to ensure that we will strengthen the relationship. We will cement the relationship post-merger. And it will allow us to align the interests between us and the combined group.
Tal Grant: Tal Grant, UBS. Just wondering if you're seeing any impacts from your clients, customers in Asia given what's going on over there China/Asia in general. That's the first question.
Mor Weizer: Yes, the answer is no we don't see any impact from any of our licensees. I assume that you refer to certain headlines that were picked up by the press. Obviously there are -- they refer to certain activities that Playtech is not involved in.
Ed Birkin: Okay, but generally -- not even that, I mean just generally what's the macro situation there.
Mor Weizer: We don't see any change and Asia continues to grow for us. We see stronger growth in regulated markets as we indicated this morning. But we definitely see still continued strong growth in Asia.
Ed Birkin: Okay. And then in terms of your contracts do you have any ending or up for renewal in the next couple of years? And is Holland Casino still going ahead Q1 2016?
Mor Weizer: Yes. Obviously with Holland Casino it is dependent on the regulations. I can assure you that as soon as it will be introduced Playtech will be the first with Holland Casino. And we will put a lot of efforts to ensure that this is indeed the case. And there is a close cooperation between the two groups developing ideas and even discussing certain initiatives ahead of the introduction of the new regulations. So definitely this is in place.
Tal Grant: And any contracts up for renewal in the next [weeks]?
Mor Weizer: Are there any big contracts that are up for renewal? As you know William Hill is up for renewal but it will take some time before it will be finished. But discussions will happen I believe in the coming quarters. Certain initial discussions already started. And as they indicated we are keen to extend the relationship and strengthen the relationship with William Hill. Other big licenses there are one or two other licensees but again they are -- their contribution is limited and therefore -- they are still considered a very big licensee for us, but it's not -- the contribution is limited.
Tal Grant: Okay. And then just going back to the Plus500 hurdles could you just remind us which antitrust authorities have to sign off the deals? And is it all regulators have to sign it off as well?
Mor Weizer: Yes, so from an antitrust perspective it's the Cypriot antitrust regulator who needs to approve it according to the process that we are going through right now. This is expected to be approved quite shortly. And with respect to the regulators it is approval by two regulators out of the three that they have today in Australia. It's a notification process rather than an approval process. But in the UK and Cyprus it's a full [change of] approval process.
Tal Grant: Okay, thank you.
Simon French: Morning. It's Simon French from Cenkos. Just one on TradeFX initially, in the back of the pack it says that it would have contributed about EUR12.2 million EBITDA if you'd had it for the first full six months, which is a margin of about 28%. So I'm just wondering how you get from 28% to 45% over the medium-term. And whether you have to assume that a certain level of implied volatility in the market to get there. And then last time we met we spent quite a bit of time talking about Caliente, Gazzetta dello Sport, Trinity Mirror. Can you just give us an update on how those structured agreements are performing, please?
Ron Hoffman: Sure. So on the Plus numbers basically the second quarter in the year was a very, very slow quarter. It was a very quiet quarter. The markets were, I would say, tranquil that's the right word right. So obviously that impacts volumes because volatility not only generates the revenue but it also drives a lot of customers to trade more. They want obviously to beat the market and generate the profits on the back of the volatility in the markets. So that has impacted in those types of periods. But when you take a longer type of view looking at, I would say, on average annual volatility in markets and instruments and foreign exchange payers and commodities altogether there is sort of an averaging effect on a longer period. And therefore we believe that we can't just look at very specific periods when the markets are very quiet. We can't just look on the other side at very volatile periods as well and assume, because these are coming with dramatically higher margins and that's on the other side of the scale I would say. And therefore I believe the 45% margin is the averaging, the right healthy average for such a business on a long term perspective, from our own analysis of the business and the way that we believe it should be running.
Mor Weizer: On the structured agreement, I will say we are very happy with the result so far. As we indicated earlier, there are certain investments made in the first period in order to ensure that the brands will turn into an online gaming well recognized brand. This is less the case with Caliente, because it's a gaming operator. It is more the case about Gazzetta dello Sport and Trinity Mirror. I'm not suggesting that it does not perform well. It performs very well, in accordance with our expectations. I will say however that given the strength of the Caliente brand and its presence in Mexico it exceeds our expectation significantly. And we are very happy with the progress made so far. It was a phased migration approach that started with certain products in the online environment. We are now in the process of delivering our retail, creating an Omni-channel solution across the board. So not only it exceeds our expectations so far, we have certain initiatives in place that will come to fruition later this year, towards the end of this year beginning of next that will not only drive new royalty or new revenues for Playtech from a [sofa] perspective but we believe will create Omni-channel opportunities for Caliente. And we definitely expect it to further accelerate next year and become quite significant. We always indicated that out of the three, Caliente will happen quicker than others given the presence that they have. But we are very happy with Trinity now and Gazzetta dello Sport, and we have certain initiatives of increasing marketing and introducing new products. It did not go unnoticed by various other competitors of Trinity Mirror and Gazzetta dello Sport in the UK, Italy and outside. And as I indicated earlier we definitely have a pipeline of structured agreements. There are more than 15 countries opening up. Our success of providing software and services it was picked up by various well-recognized media groups and gaming operators. And we definitely intend to continue growing these businesses and replicate their success in new jurisdictions across, I would say, Europe, Central and Eastern Europe and Latin America specifically.
Unidentified Analyst: Morning guys. Just a quick one, normalized margin of white label revenue going forward, just if you can answer them one at a time I've got five or six questions. So normalized margin of white label revenue going forward, EBITDA margin what should we expect?
Ron Hoffman: I would say naturally a white label arrangement will be closer to an operators type of business. So I would say it would come at around a margin of 25% or so for a healthy steady growing white label arrangement, around this level.
Unidentified Analyst: Okay. And then just on current trading if -- just regarding this 7% to 8% so that is constant currency. If we strip out YoYo Games and Aristocrat so ex-acquisitions.
Ron Hoffman: So this is ex-acquisitions and ex-POC. Also extremely -- this is underlying. This is the constant currency on an underlying basis.
Unidentified Analyst: Like for like.
Ron Hoffman: Yes.
Unidentified Analyst: 7% to 8%, so that adds back POC?
Ron Hoffman: Correct.
Unidentified Analyst: Okay. And then can you just give us an indication of Asian growth? Normally you basically give us rest of world Europe and Asia, and you give us the growth rates.
Ron Hoffman: Yes. Basically I think it's in the RNS unless I'm mistaken, but just in case it's not. On a constant currency basis Asia grew approximately 15% or so.
Mor Weizer: Just to give you the comfort we do believe that the business model of Playtech supports an underlying double-digit growth in terms going forward. The 7% and 8% is impacted by various elements and certain transitions that our licensees are going through whether it is in the UK and elsewhere. The markets in the UK are becoming more competitive. It's not [on the] POC because the 7% and 8% [strip] that or take that into consideration because -- but the market is -- and we took a big hit for that. But on an ongoing basis the business model of Playtech definitely supports a double-digit growth. And this is a very, very important message for us to send to you and others. So given the certain initiatives that we have underway already a lot of those already secured.
Unidentified Analyst: Okay, thanks.
Alan Jackson: Shall we just have two more questions.
Unidentified Analyst: Sure. Just regarding the one-times net debt to EBITDA, just quickly does that include the convertible or exclude the convertible so does it treat it as equity or debt?
Ron Hoffman: We see the convertible as equity at this point. We believe it's very [deep] in the money we don't believe it will end up becoming -- other than the fact that from an accounting perspective its recorded as a liability, we believe it's very far from being actually repaid as debt.
Unidentified Analyst: Okay. And then just going back to the Asian question if it grew at 15% and 80% of your revenue growth was from regulated markets, can you just explain that because there must be something else in the works.
Ron Hoffman: The 15% is on an underlying.
Unidentified Analyst: That's on a constant currency basis so adding the appreciation of the won we are talking about an extra 18%. So that's 33% growth which means if you're talking about 80% growth in regulated markets. I'm trying to work out what else has happened because Asia is unregulated with 33% so what else happened?
Ron Hoffman: By the way there is a portion in Asia which is regulated with respect to some of the activity with IGS which is fully regulated in the Philippines with a customer which is fully licensed. But that's on -- it's irrespective of that. The dot.com is affected by, I would say, growth in Asia and the transition in Europe, meaning it has a negative impact on the transition in Europe due to regulations where we see revenues growing towards -- regulated revenues growing. And obviously the other side of that would be the dot.com activity decreasing over time as it transitions to regulated formats.
Mor Weizer: So in other words Asia is growing, regulated markets are growing on the back of new initiatives and certain operators that move from unregulated to regulated. So you see a drop in unregulated markets moving towards regulated income streams, which we welcome and encourage our customers to do. Because at the end of the day when you look at the underlying performance of the company you can see clearly that it's very beneficial for the company. And this is the experience we had in various other markets. The reality of it is that when people move from unregulated to regulated they simply take all the marketing they invested and they put it and they invest it into regulated markets where they generate revenues. For them initially it's hard in terms for profitability, but our business model is obviously take a share of the revenue generated, so obviously very -- extremely beneficial for Playtech.
Brian Gavin: Morning, guys. Brian Gavin from Goodbody. You mentioned the performance of land-based gambling was helped by IGS setup fees. Could you give us an idea of what the growth would have been like without the setup fees? And then what's the margin in land-based gambling like, compared to the rest of the core gambling business? Thanks.
Ron Hoffman: The quality is -- you'll have to ask it again I apologize.
Brian Gavin: You mentioned the performance of land-based gambling was helped by setup fees from IGS. Could you just give us an idea of what the underlying growth would have been liked without the setup fees?
Ron Hoffman: Without the setup fees specifically. The setup fees were around EUR1.5 million, so it's not a dramatic contributor to the growth altogether.
Brian Gavin: Just on the margin in land-based gambling compared to the rest of the core gambling business what's that like?
Ron Hoffman: We call it land-based, but it's not really land-based. It's not as if we are actually selling the machines themselves. Where we are, it's a software business just like in the rest of our business. We are selling the technology which powers the FOBTs, and it's technology just like any other. It comes at the same margin of the Playtech -- of the entire Playtech Group.
Unidentified Analyst : Sorry. Just one question. In the back of the statement, you say that markets.com made no contribution in terms of EBITDA in the months you owned it. I know you're talking about that's because of the low volatility in the market. So, because we've had extremely high volatility, would you say that you've managed to get most of that profit back that you lost in terms of those first two months, so we shouldn't really be reducing our numbers down for the year?
Ron Hoffman: That's correct. Correct. The fact that we had the low volatility --
Unidentified Analyst : So you just had to pick Q3 versus your expectations for Q2.
Ron Hoffman: It's timing. It's the events driven in the markets. And by the way, it wasn't -- there was profitability in the first two months. It was just minimum. But other than that, obviously we hope for profitability in the third quarter.
Unidentified Analyst : And is EUR2 million about the right ballpark figure that you'd have expected to make in May and June plus EBITDA?
Ron Hoffman: As contributors to EBITDA.
Unidentified Analyst : Yes.
Ron Hoffman: We don't split that at this point. But the answer is no.
Alan Jackson: Good, thank you all very much. Perhaps we should have developed the binary option for how long this would take. Perhaps next time we can offer you something like that. Thank you all very much for coming along. And I'm sure that Mor and Ron if there are any individual questions before you go off to the next session be very welcome to come and have a chat. Thank you all very much. See you tomorrow.